Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Chatham Lodging Trust Second Quarter Earnings Conference Call. At this time all participants are in a listen-only mode. Following the presentation we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions). I would like to remind everyone that this conference call is being recorded today August 6, 2013 at 11:00 AM Eastern Time. I will now turn the presentation over to Chris Daly, President of Daly Gray. Please go ahead, sir.
Chris Daly: Thanks, John. Good morning everyone and welcome to the Chatham Lodging Trust second quarter 2013 results conference call. Yesterday, after the close of the market Chatham released results for the second quarter June 30, 2013, and I hope you had a chance to review the press release. If you did not receive a copy of the release or you would still like one, please call my office at 703-435-6293 and we’ll be happy to email you a copy or you may review the release online at Chatham’s website, www.chathamlodgingtrust.com. Today’s conference call is being transmitted live via telephone by webcast over Chatham’s website and at streetevents.com. Recording of the call will be available by telephone until midnight on Tuesday, August 13, 2013 by dialing 1-800-406-7325, reference number 4630897. A replay of the conference call will be posted on Chatham’s website. As a reminder this conference call is the property of Chatham Lodging Trust, and any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Chatham is prohibited. Before we begin management has asked me to remind you that keeping with the SEC’s Safe Harbor guidelines today’s conference call may contain forward-looking statements about Chatham Lodging Trust, including statements regarding future operating results and the timing and composition of revenues among others. Except for historical information these forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially, including the volatility of the national economy, economic conditions generally, and the hotel and real estate markets specifically, international and geo-political difficulties or health concerns, governmental actions, legislative and regulatory changes, availability of debt and equity capital, interest rates, competition, weather conditions or natural disasters, supply and demand for lodging facilities in our current and proposed market areas and the company’s ability to manage integration and growth. Additional risks are discussed in the company’s filings with the Securities and Exchange Commission. All information in this call is as of August 6, 2013 unless otherwise noted, and the company undertakes no obligation to update any forward-looking statement to conform these statements to actual results or changes in the company’s expectations. During this call we may refer to certain non-GAAP financial measures, such as EBITDA and adjusted EBITDA, which we believe to be common in the industry, and helpful indicators of our performance. In keeping with SEC regulations we have provided and encourage you to refer to a reconciliation of these measures to GAAP results in our earnings release. Now to provide you with some insight into Chatham’s 2013 second quarter results, allow me to introduce Jeff Fisher, Chairman, President and Chief Executive Officer; and Dennis Craven, Executive Vice President and Chief Financial Officer. Without further ado let me turn the session over to Jeff?
Jeffrey Fisher: Thanks, Chris. Well my usual enthusiasm might sound pretty bad compared to yours. But thanks for the intro this morning. And thank you all for joining us here again, happy to be back at our second quarter earnings call. Since our IPO in 2010, as you know, we’ve set out to build the premier lodging REIT making high quality hotel investments, generating strong earnings via high operating margins, facilitated through our aggressive asset management and producing significant cash flow to pay meaningful dividends to our REIT investors We know to build another successful lodging REIT that we have to be patient and grow as equity and debt markets allow and where proceeds can be used to purchase value enhancing hotels. We also know we have to be patient as we analyze growth opportunities to determine the best deals to consummate. We have executed very well on our strategic initiatives to-date and the result is an investment portfolio that produces high FFO per share, high operating margins and allows us to pay one of the best dividends in the lodging space. I am real pleased with the hotels that we have acquired to-date and particularly the hotels that we’ve been able to buy in 2013. I am going to shed some light on some of the performance of those assets. Just to highlight I think how well our patience have paid off in so far as targeting specific assets with specific owners, almost all in direct relationship purchases that really have produced I think some great cash flow and dividends for the company and will continue to do so going forward. In pursuit of our continued growth as a premier lodging REIT during the second quarter we had a very successful offering in June raising approximately $80 million at a price of 16.35 per share 11% higher than the offering price of 14.70 per share in January of this year. We used the operating proceeds to acquire a great Hyatt Place hotel in downtown Pittsburgh adjacent to the P&C Park at Heinz Field fields for $40 million and we’ve entered into another agreement to acquire another great hotel in the North East for about $15 million. We also issued two CMBS loans raising $44 million of cash, excess proceeds from the offering and the two loans have been used to pay down most of our credit line. We now have approximately $95 million of capacity and are well positioned to acquire additional hotels that meet our very strict underwriting criteria. Switching gears to our second quarter operating results, adjusted FFO per share came in at 48 cents per share in line with consensus estimates and up almost 12% from the 2012 second quarter. Adjusted EBITDA was up almost 15% to $13.7 million over the 2012 second quarter. Acquisitions at reduced interest cost continue to fuel the increases. RevPAR grew to 6.1% at our comparable 20 hotels which I am real proud of especially as you look across the comps, which excludes our unbranded DC Hotel under renovation. Also excluding the Pittsburgh Hyatt Place hotel which we only owned for 15 days RevPAR was up 5.3%. So you could see that the Pittsburgh hotel in the second quarter and as we see it going forward this year has shown some very strong RevPAR growth also. In a way you look at it our growth was higher than industry RevPAR growth of 5%. We continue to see double digit RevPAR gains in both our Houston hotels, our Portland, Maine hotel and our White Plains Hotel, our residence in there was also up very strong, up 18%. The recently acquired Hyatt Place in Pittsburgh saw RevPAR jumped almost 20% in the quarter. We are very happy to see our recent acquisitions doing so well which is attributable not only to strong markets and as you look at the markets that we’ve been targeted and acquiring hotels in, we have high single digit and at some cases like Houston double digit market growth. And in each case as I look at our hotel stats for the quarter and for year-to-date our RevPAR indexes in those hotels have been improved by the IH management team. So for example in Portland at the Hampton Inn that we bought there we’ve got comps at market up roughly 6.5% but the hotel up roughly 10%. That’s the kind of value add that we are looking for here at from our operators. And if we selectively acquire hotel in markets that have strong demand generators they are growing strong and that are insulated for new competition. And then add to that the value-adds brought by IH as their operator we believe we’ll continue to see the kind of results that we’ve been able to post here at Chatham as a public company. So real happy with those acquisitions and the things that we are looking at going forward including the one Hampton Inn and Suites that we have under contract, again have similar characteristics in the market or have opportunities for value enhancement to really drive the RevPAR and EBITDA growth out of those hotels. Continuing the theme from others who previously reported a little bit of the negative in the world seems to revolve around sequestration impact in our portfolio and we really see it in Tysons Corner, Virginia. Tysons has always been a fantastic hotel for us, a residence inn that we built back in the Inn Keepers’ days. It was one of the five sister hotels that we acquired during the Innkeepers bankruptcy. But the RevPAR declined in the second quarter 12% at the hotel and that’s primarily ADR which off-course has a substantial negative impact on our margins as well. RevPAR at our D.C. hotels which is currently been renovated and will be rebranded to our Residence Inn for the September 1 opening declined almost 40% in the quarter. But most of that was really due to the renovation and roughly half the floors being out of commission as we go through and get into the room side of that renovation. We do have and I want to continue to emphasize because of a more leisure component in the Foggy Bottom location and less reliance on government ADR and per diem business as compared to Tysons we do have a strong, strong outlook for that hotel when it ramps up and as we ramp it up, excuse me, through the fourth quarter and especially for 2014. Year-over-year second quarter operating margins were up 10 basis points to a very healthy 46.8% and when you remove the impact of our D.C. Hotel, operating margins would have been up 30 basis points for the quarter. Increased margin growth was attributable to reduced rooms department expenses. This is encouraging as first quarter margins were flat and as we spoke about last quarter more and more of our RevPAR growth is being driven by increases in rates. For the second quarter RevPAR growth was entirely attributable to ADR. So again this bodes well for us moving forward as our operating model is best at driving incremental revenues to the bottom line, increasing cash flow, reducing leverage and paying dividends. Hotel EBITDA margins were down 40 basis points in the quarter to 40.1% due to higher property taxes and insurance cost and our recent acquisition. Off-course we challenge any and all property tax increases which are not reasonable so we hopefully will get some refunds down the road. On the operating side of our Innkeepers joint venture with Cerberus RevPAR growth was up 5.8% for the quarter, so almost 6%. As most of you know we’ve got a significant presence in Silicon Valley with eight upscale extended stay hotels, seven residence inns and one Hyatt House. RevPAR in the Silicon Valley Hotel was up over 11% in the quarter, continuing strong trends in the Silicon Valley, and in that portfolio ADR increases accounted for approximately two-thirds of the increase. With respect to the performance of the JV, second quarter EBITDA at the 51 comparable hotels was up 7% to $28.2 million and year-to-date EBITDA was up 6% to 48.9 million as there were more hotels in the Innkeepers portfolio during 2012, we’ve sold from non-core assets as you may recall. Looking at the condition of our Chatham portfolio only renovation remaining in 2013 is the completion of the D.C. conversion, a conversion of our unbranded D.C. hotel to the Resident’s Inn is making great progress, public space is complete and we are in the rooms as I said anticipating completion by the end of this month. We added another great hotel in our portfolio in the quarter with the $40 million acquisition of the Hyatt Place in downtown Pittsburgh and again looking forward to expanding our relationship and our franchise affiliation with Hyatt, off-course we do have five Hyatt house hotels in the Cerberus JV. So we enjoyed that relationship and we see opportunities perhaps on the Hyatt Place side going forward. This is a fantastic hotel that opened in 2010 as we told you before it’s in a great location. So again looking for further EBITDA growth and strong returns from that hotel. Additionally we noted in the release that we seized a unique opportunity to expand our joint venture affiliation with Cerberus and we acquired a 248 suite Residents Inn that’s located in Torrance, California a good market with traditionally higher barriers to entry. We only paid a $125,000 per room. We will invest some money there on a go forward basis to bring that fully up to Resident’s Inn but that is a good hotel that we bought at a great going in cap rate. We have a very active pipeline as I said for acquisitions which allows us to make the right deals for our shareholders and we have been able to find targets that have RevPAR growth and internal growth prospects as least as good if not better than the internal growth rate of our current portfolio. The recent acquisitions as I said have proven – have performed very strongly and our Torrance acquisition is yet another example of the value we bring vis-à-vis our relationships in the industry. We have one of the highest quality select service investment portfolios in the REIT space and we will continue to find assets that meet our very strict acquisition criteria and make accretive acquisitions. I would like to also note that we got a great start for the quarter here, month of July RevPAR for the company was up a healthy 7.8% excluding the DC asset. So again almost 8% RevPAR growth coming out of the box for this quarter feels pretty good to me. With that I would like to turn it over to Dennis.
Dennis Craven: Thanks Jeff and good morning everyone. For the first quarter, we reported net income of $2.2 million or $0.12 per diluted share, compared to a net income of $1.2 million or $0.08 per diluted share in the 2012 second quarter. First quarter RevPAR was up 2.6% to $101 for the 20 hotels open for the entire quarter compared to our prior earnings guidance of 2% to 3% growth. Excluding our unbranded D.C. hotel, our RevPAR was up 6.1% on an increase in rate of almost 6%, and a 0.4 increase occupancy to 83.5%, up 30% basis points. RevPAR performance for the industry was 5% for the quarter and so of course we are very pleased to put up some good numbers above industry averages in the quarter. RevPAR at D.C. Hotels Jeff alluded to was down 38.8% in the quarter as we complete the renovations to the rooms in anticipation of our conversion to a Resident’s Inn from September 1st Adjusted EBITDA for the company rose almost 15% to $13.7 million with the jump attributable to the acquisitions that we made in late 2012 and 2013 as well as improving margins and the outstanding performance within our joint venture. During the quarter the joint venture contributed approximately $2.1 million of adjusted EBITDA to Chatham. Adjusted FFO jumped significantly up 48% to $8.8 million, from the 2012 second quarter of $2.9 million of FFO. On a per share basis FFO per share rose approximately 12% to $0.48 in 2013 compared to $0.43 in 2012. Excluding the impact of the June offering as well as the Pittsburg acquisition adjusted FFO per share would have been approximately $0.50 per share within the original guidance that we had provided for the quarter of $0.49 to $0.51. In addition to our strong operating performance the jump in FFO was aided by the $1 million decrease which is about 25% in interest expenses resulting from a refinancing of the line in late 2012, as well as the various refinancing efforts we made in the first quarter and second quarters of 2013. The average interest rate on our debt is now 4.7% compared to 5.9% 12 months, a 920 basis decrease. And as we look forward into 2014 and beyond the average interest rate currently on our fixed rate debt is down a 100 basis points from 6% to now a very attractive 5%. And our average maturity date has expanded to mid-2021, on our fixed rate debt. Net debt was approximately $188 million at the end of the quarter, comprised of debt of approximately $207 million, offset by $90 million of cash. You should note that we normally like to operate with about 5 million of cash for our portfolio but due to the timing of exercise of our shoe in late June and the timing of the due date on a trance of our line of credit we didn’t pay down our line until after the quarter closed for those proceeds from the shoe. And as we sit here today we have approximately $19 million outstanding on our line of credit. As you look at financing although rates have picked up a bit in the last 90 days from a historical perspective rates are still relatively low. And we will continue to take advantage of these market conditions to fund a portion of our growth moving forward, using some reasonable leverage enables us to lock in solid long term returns for our shareholders. Subsequent to our offering our leverage ratio calculated as net debt divided by our hotel investments ratcheted down to 34% and is below our long-term goal of 35%. Having said as Jeff alluded to we still have a very active acquisition pipeline and at this stage of the cycle we are still comfortable operating at leverage levels higher than our long term goal and we do anticipate trying to make another 100 to $125 million of acquisitions and maintain a leverage ratio somewhere in the mid-40% range down the road. Our current ratios are very healthy with the debt service coverage ratio of over two times debt-to-enterprise value of approximately 32% and debt-to-hotel EBITDA of approximately 4.7 times for Chatham on a standalone basis and about 5.4 times including our share of the joint venture. We only have about $5 million of debt maturities coming before us in 2015 and only 38 million maturing in 2016. After that our next maturity is 2021. And when you look at this on a standalone basis Chatham is well positioned to deleverage naturally over the next several years, due to very little renovation obligations. After the completion of the conversion of the D.C. hotel we will have no further renovations for the remainder of 2013 and in 2014 we will only have two hotels, the Residence Inn at White Plains which is due for a room renovation and the Homewood Suites in Carlsbad, California that will need a six-year refresh, that will need renovation certainly with only two hotels on the calendar for 2014, we will be able to manage any displacement to an absolute minimum in 2014. And then when you look past 2014 we only have one hotel that needs renovation in 2015, that’s our Homewood Suites in San Antonio. So what you get is certainly a company and a portfolio that’s going to generate significant cash flow over the next several years that will allow us to pay down debt and invest in additional acquisitions. We are in the process of refinancing, and switching gears to the joint venture. The existing $786 million of debt with the new $950 million loan we expect that we will close the loan within the next couple of weeks and after the financing closes we do estimate that most but not all of our original investment will be returned but the portfolio will still be well capitalized with sufficient equity value, substantial capital reverses will have been funded and we will have very healthy debt coverage metrics within the portfolio. We will certainly share the specific terms of the debt after the loan closes which again like we said we expect that will occur hopefully within, not hopefully but we expect it will occur within the next several weeks. This is very exciting news for both us and for Cerberus. It reflects the underlying value that we seized upon in 2011, when we joined with Cerberus to acquire Innkeepers. And obviously no one can predict the future but we are well positioned here at Chatham to benefit from our [inaudible] down the road. We did provide guidance for the third quarter and for the full year. And with respect to our guidance our prior full year 2013 for FFO was $1.58 to $1.64. After the June offering we did increase our shares outstanding by approximately 28%. So with the guidance that we provided of $1.44 to $1.48, that number’s due entirely to the impact from the offering, since we have only completed so far one acquisition for the offering in the Pittsburgh hotel. We do have another hotel under contract and we expect to close here in new future in the Northeast for $15 million. And we estimate that on an annualized basis once we make another $100 million to $125 million of additional acquisition our pro forma 2013 FFO run rate would be in the $1.65 to $1.75 range. So really sets up well for a strong 2014. Our third quarter RevPAR is projected to grow 4% to 5% for all 21 hotels. RevPAR at currently unbranded D.C. hotel is projected to decline over 30% in the quarter, which is bringing down our portfolio RevPAR by almost 150 basis points in the third quarter of 2013. Our Tysons Corner property continues to see weakness. Jeff alluded to it, due to sequestration is projected to see RevPAR drop approximately 15% in the third quarter. Our projections do not include any other changes to our capital structure or equity offerings or any acquisitions that haven’t closed. And from a disposition position perspective we don’t expect any in 2013 for Chatham, within the joint venture we do expect to complete the sale of one final noncore assets. With that operator that concludes our remarks. And we’ll turn it over for questions.
Operator: Thank you. (Operator Instructions). Your first question today comes from Felicia Hendrix with Barclays. Please go ahead.
Unidentified Analyst: Hi, guys. This is Justin in here for Felicia. We just had the question regarding the pro-note. Given how well the J.V. is doing we’re trying to put a potential value on that. We are estimating maybe $1 to $2 per share wondered if you may tell us if we are in the ballpark there. And also you maybe you could discuss how you guys are thinking about valuing the pro-note.
Dennis Craven: Yeah, I think from—yeah, we gave guidance back in February and you may not have been on the call. But we did a lot to adjust the general financial metrics of the joint venture. And when we look at hotel EBITDA of about little over 100 million for 2013 if you look at the select REITs, select REIT are trading at around 13 times, 2013 EBITDA, you come with certainly a portfolio value, we currently have little less than the $100 million of debt. So you get some nice equity value there, of little over 500 million. The form of that pro-note is intended for us to increase our participation from our current 10% interest to upwards of 20% assuming certain returns are met. So certainly we believe that I think people can infer whatever value they want from that. But it’s certainly not been down the road I think we all know that it’s a meaningful piece of our equation.
Jeffrey Fisher: This is Jeff. One thing that we’re going to do because this question for some reasons seems to becoming more and more popular, and more interesting I think to a lot of analysts and shareholders and rightfully so because this investment has proven to be a home run for us. So there is refinancing as Dennis indicated. When the refinance closes we will put out a release and talk a little bit more in detail about our interest in this investment. We’re obviously not going to or can’t value this thing for you. But I think what we can do is put some specificity around the pro-note structure. The pro-note structure we’ve almost declined to comment on. But in fact has been filed as part of a 10-K was a 2011 10-K of course. So therefore it’s out there for the world to see anyway. And we’ll talk about that a little more specifically and how that plays on the numbers. But only good news there, thank goodness.
Unidentified Analyst: Okay, great. Thanks guys.
Operator: Your next question comes from the line of Nikhil Bhalla with FBR. Please go ahead.
Nikhil Bhalla – FBR Capital Markets & Co.: Yeah, hi. Good morning everyone. Just – hi, good morning. You talked about the Hampton Inn purchase. Would you give us some sense of what the going in yield is on that asset, and how that asset came about or why this particular asset versus some other asset. Thank you.
Jeffrey Fisher: Yeah, again Nikhil this asset, no broker very similar circumstance and frankly came from more or less the same individual that we worked with our Hilton relationship up in the Northern United States particularly. I’ll tell you little more the New England region. So hotel is once again, so I think we’re hitting on all cylinders although it’s not our only acquisition criteria. But it’s essentially brand new. And it is an opportunity for an owner to recycle some capital to where he needs it somewhere else and for us to get a hotel that opened late 20 – that one opened 2011 and looking forward to normal ramp-up of the hotel, obviously no CapEx and a little bit smaller market but a market that should continue to provide good growth going forward. No broker again.
Nikhil Bhalla – FBR Capital Markets & Co.: Got it. And in terms of overall margins is that very comparable to what you’re seeing in your portfolio right now?
Jeffrey Fisher: Yes.
Nikhil Bhalla – FBR Capital Markets & Co.: Okay, and then just a follow up question on the acquisition. Dennis, I think you gave a very good outline of what you expect in terms of acquisitions going forward. Any sense of are these more near term or is this over the next 12 months? Just any idea, maybe even some color on markets. Thank you.
Jeffrey Fisher: So let me just – I think markets will continue to be similar markets to what we’ve been in. But I would look for an underlying characteristic of good market growth, good comp set growth. So that’s important to us because there are some markets in the United States obviously that are having lower single digit growth and there is some markets with mid-single and upper single digit growth and perhaps double digital growth. So we’d like to see that together with our value enhancement that I talked a little bit about, important acquisition criteria for us as well as barriers to entry. That money as we’ve said should probably be invested mostly by Labor Day if not no later than 30 days, after Labor Day. So no significant drag on earnings resulting from the offering with good fourth quarter, hopefully additional accretion coming from these new acquisitions.
Nikhil Bhalla – FBR Capital Markets & Co.: Thank you. So in effect we should think of more acquisitions coming in our way sometime before – let’s all – end of September or maybe October timeframe somewhere.
Jeffrey Fisher: Yes sir, at the latest.
Nikhil Bhalla – FBR Capital Markets & Co.: Thank you.
Operator: Thank you. Your next question comes from the line of Patrick Scholes with SunTrust. Please go ahead.
Patrick Scholes – SunTrust Robinson Humphrey: Hi, good morning.
Jeffrey Fisher: Good morning.
Patrick Scholes – SunTrust Robinson Humphrey: I am doing well, thank you. Wonder if you can talk a little bit more about the Pittsburgh market. It’s not a market that is covered by in the top 25 for Smith Travel. So we don’t give a lot color on that. I just see that it look there is going to be some supply coming on next year. But I want to get your thoughts about the sort of demand and supply drivers as you see them for Pittsburgh. Thank you.
Jeffrey Fisher: Yeah, Pittsburgh is an interesting market. Because it’s not on everybody’s radar screen which makes it kind of interesting to us. And particularly with the benefit of having the IA exchange being able to do the due diligence and the ground work to understand what drives the market, it’s hard to talk about Pittsburgh as one market. Pittsburgh has three or four different or more, almost half a dozen different very distinct sub markets in it. With the downtown Jack Town market obviously being as most downtowns are its own market. The Hyatt Place is driven very strongly just by its fantastic location on the river front in this newly developed stadium area, entertainment art, museum et cetera locations with lots of bars and restaurants et cetera still to come. So good growth coming there with Fortune 500 companies in the area or directly across the small little bridge that you can walk across. But there is other markets in Pittsburgh like [South Point] which is a large office park that many of the national shale oil companies that are obviously doing shale work in Western Pennsylvania have chosen this particular location for their regional headquarters. So they’re opening up very large facilities and employing a lot of people with a good amount of travel. So again shale, oil, natural gas is obviously a driver in the entire area but then you have to look at specific markets – sub markets within there and see where you might be insulated from new constructions. Because there is opportunity to build there in certain places the terrain obviously is a huge disadvantage to the [inaudible] just because it’s so up and down and tough to find or make even a flat hotel site. But and any of that we find it interesting.
Patrick Scholes – SunTrust Robinson Humphrey: Great. I appreciate the color. Thank you.
Operator: Your next question comes from (Christopher Testa with Boston Providence). Please go ahead.
Unidentified Analyst: Hi, good morning
Jeffrey Fisher: Good morning.
Unidentified Analyst: I was wondering if you guys could give some color on how much of the RevPAR composition in your newly acquired hotels is from ADR and occupancy?
Jeffrey Fisher: Let’s take a peak year, looks like quite at all ADR, pretty much – excuse me that was yeah.
Unidentified Analyst: Okay, so all ADR and just…
Jeffrey Fisher: Actually. Yeah, we’ve got in one of the hotels some occupancy growth but it’s mostly ADR.
Unidentified Analyst: Okay and generally in the Texas markets could you give some color on what you are seeing in cap rates in Houston as compared with the rest of Texas?
Jeffrey Fisher: We are not really looking actively in parts of Texas outside of Houston. So I don’t think I can really give you the right answer there. And anybody that owns anything in Houston to honest with you, based on what’s happening in the market with double digit market growth, you know in some cases I know our comp set around the Houston Medical Center is up very substantially, not even including what we’ve done to the hotels to make them better. So mostly we don’t want to sell.
Unidentified Analyst: Okay, thank you.
Jeffrey Fisher: Right.
Operator: (Operator Instructions). Your next question on the line comes from Rob Salisbury with V3 Capital. Please go ahead.
Robert Salisbury – V3 Capital: Okay good morning Jeff and Dennis.
Jeffrey Fisher: Hi Rob. Hey what’s going up?
Robert Salisbury – V3 Capital: Good thanks. So I had just quicker numbers question on guidance for you guys. Looking at the adjusted EBITDA range of 48.6 million to 49.6 million for 2013 I was hoping you guys could help us understand what this range will look like if we remove the renovation disruption and then if we annualize all the acquisitions that have been done to-date. I guess what I am trying to get out is excluding any prospective acquisitions what the appropriate run rate earning days from which we should grow our models into a 2014 and beyond thanks.
Dennis Craven: Yeah I certainly can walk through a lot of the details with you after the call but I think when we provide a guidance of and that guidance when we talked about our run rate of a $1.65 to a $1.75 just on top of what our current – what our current model is I think a couple of key points is if you look at our D.C. Hotel for the year it’s had about to 2 to 2.5 point impact on our topline RevPAR growth. For us that’s another $1 million of EBITDA to the company which is about $0.05 for us. I think that certainly is most of we’ve got the Hyatt Place. I don’t have that annualized numbers in front of me. But I can certainly take a look at that and give you a call back to see what the impact would be of having that for the first five and half months. But I think those are the two main adjustments that you should make, that should help with the run rate for 2014. But I can certainly look at the Hyatt deal after our call.
Robert Salisbury – V3 Capital: Okay that’s great thank you.
Operator: There seems to be no more questions at this time. I will not turn the call back over to management for any closing comments.
Jeffrey Fisher: We’d just like to thank everybody for been on the call and continue following Chatham here. We are looking forward to a strong particularly as I look and think about 2014 although maybe it’s little too earlier to think about 2014. We know that in the fourth quarter we’ve got some top sandy comps to deal with as a few other hotels companies do, that had hotels in the Northeast. But we’ve got in few in one particular hotel out Long Island and off-course White Plains in New Rochelle that had a great, great fourth quarter 2012. But be that as it may with no renovations to deal with as we move forward here and D.C. particularly ramping up and I think Tysons at least flattening out if not finding some legs, RevPAR and EBITDA growth ought to be real strong for us going forward. We look forward to talking to you little bit more about some acquisitions that we see coming online here in the near term and we wish you great rest of the summer. Thank you.
Operator: Ladies and Gentlemen that does conclude the conference call for today. We thank you for your participation. You may now disconnect your lines.